Operator: Good day, and welcome to the Calumet Specialty Products Partners, L.P. First Quarter 2022 Results Conference Call.  Please note, this event is being recorded. I would now like to turn the conference over to Brad McMurray in Investor Relations. Please go ahead.
Brad McMurray: Good morning. Thank you for joining us today for our first quarter 2022 earnings call. With me on today's call are Todd Borgmann, CEO; Vincent Donargo, CFO; Bruce Fleming, EVP of Montana/Renewables and Corporate Development; Scott Obermeier, EVP of Specialty Products and Solutions; Marc Lawn, EVP Performance Brands; and Steve Mawer, Executive Chairman. Before we proceed, I'll remind everyone that during this call, we may provide various forward-looking statements. Please refer to the partnership's press release that was issued this morning, as well as our latest filings with the SEC for a list of factors that may affect our actual results and cause them to differ from our expectations. You may now download the slides that accompany the remarks made on today's conference call, which can be accessed in the Investor Relations section of our website at www.calumetspecialty.com. Also, a webcast replay of this call will be available on our site within a few hours. With that, I'll pass the call to Todd.
Todd Borgmann: Thanks, Brad, and good morning. Let's start on Slide 3. The first quarter was a busy one here at Calumet, and we are progressing our business on all fronts. First, let me start on the people front. I'm pleased to introduce Vince, our new CFO, you'll hear from him shortly. Vince has been with us for a couple of years now as our Chief Accounting Officer, and under his leadership, we were able to successfully re-segment the business early last year and remediate a longstanding material weakness this past quarter. We've also seen broader internal people moves throughout our system. It's great to have the depth and breadth of talent we have in the organization. And thank you to Steve Vince and the entire team for providing for a smooth transition over the past couple of months. It's also been wonderful to see our people play in and play out in MRL. Talent is a critical area and we've been able to recruit a first-class team as people recognize just what a unique business model we have developed. Last quarter we mentioned how committed we are in our strategy and I want to reinforce that nothing has changed. We're focused on creating two independent leading businesses. One is a Specialty Products business built on our Calumet legacy and the other is a unique competitively advantaged renewable diesel business. Both are built on lasting competitive advantage, will carry appropriate leverage, have simple capital structures and ultimately, have access to competitive growth capital. We believe our renewable diesel business is built on permanent competitive advantages of location and cost leadership. Our Specialty Products business is one that's built on a world-class customer base, exceptional brand, and a nearly irreplicable asset base. While we think of these businesses as separate, they are strategically linked and that we expect to equitize a portion of Montana/Renewables to expedite the delevering of Calumet's Specialty business. We started 2022 by refinancing our '23 Notes, which include our short-term bond maturities and allowed us to focus on this remaining recapitalization. I'll provide an update on that shortly. Unfortunately, it's hard to talk about the first quarter without somberly mentioning the humanitarian disaster in Ukraine. The event clearly exacerbated the already stressed commodity markets, which were short on the back of their recovery from COVID and the global supply chain crisis. Calumet has very little direct business in Ukraine and Russia, but the impact of the attacks on energy pricing were felt around the globe. Crude oil ran from a December average of $71 a barrel to high of over $123 in the first quarter, which is the largest quarterly dollar increase in history. In the face of these challenges, Calumet posted a first quarter adjusted EBITDA of $23.3 million and ended the quarter with a multi-year high of $412 million of liquidity. The rising cost environment most impacted our Performance Brands and asphalt businesses where price lag is most prominent. Other product lines in the Specialty Products and Solutions segment were certainly impacted too, but we are proud to post specialty material margins north of $50 a barrel in such a challenging environment. I'd be remiss to not highlight once again the competitive advantage that our specialty business has to effectively manage rapidly changing market regimes. This is an incredibly flexible business and we typically process crude oil to produce our own specialty feedstocks cost-effectively, thereby also ensuring secure supply and quality control. Of course, we also make fuels during this process and we have significant optimization, flexibility and control over the degree to which we process crude versus intermediates. When fuels margins were nothing during COVID, we tweaked our operation and feed mix to minimize fuels and focus on specialty yields, and that generated cash. In the current environment, we're in max fuel mode and we limit the amount of third-party intermediates we process. Calumet Specialty Products business and that will always be our core focus, but our flexibility to shift feedstocks and integrate internally to match market conditions is a core strength and differentiator. As we do this, our assets are operating at high utilization with good reliability, and in the first quarter, our facilities recorded the largest production volume we've seen in over three years. We'll wrap with an update on MRL in a bit. But first, I'll turn the call over to Vince to take you through our first quarter results. Vince?
Vincent Donargo: Thanks, Todd. I look forward to meeting our investors and analysts and working with you all in this role. Moving to Slide 5. Our Specialty Products and Solutions segment generated $28.1 million in adjusted EBITDA in the first quarter, which is flat sequentially. As Todd mentioned, we were pleased to deliver over $50 per barrel of specialty material margin in the face of a record spike and feed costs. The SPS team did a great job of rapidly passing through these higher costs, and ultimately, we ended the quarter well-positioned to benefit from the favorable market environment. At the same time, fuel margins increased significantly throughout the quarter, as the industry is challenged to keep up with global demand as European gas prices continued to provide a meaningful cost advantage for US producers. Asphalt experienced the largest margin challenge in the SPS segment as it is priced the month prior to delivery. For example, March asphalt which priced when crude was approximately $90 per barrel, and there was a point in March when crude was more than $30 per barrel higher than that. Despite the challenge, fuels and asphalt material margins increased to $918 a barrel, which is the highest we've seen since we started reporting this metric. Our plants also ran very well throughout the quarter. Late in March, we prepared for a planned secondary lubes focus turnaround at Shreveport, and in April, that was completed on time and on budget. During the turnaround, we also reinforced our utility system, which is one of the targeted high return reliability improvements we mentioned on the last call. Moving to Performance Brands on Slide 6, you can see our latest TruFuel offering, which is a larger 2.1 gallon container. We recently launched a national campaign to market this larger size following a strong demand response from our regional marketing program. On Slide 7, the business generated adjusted EBITDA of $5.3 million. Last quarter, we reported that we were seeing a light at the end of the supply chain tunnel that we could catch up with demand and make a dent in our backlog. We were able to accomplish this in Q1 as the backlog was slightly reduced. Unfortunately, just when we thought we had caught up with pricing, we saw the tremendous feedstock cost increase, and the PB team went back to announcing price increases to catch up. Demand is strong in this segment and we continue to expect to reach normalcy in this business in 2022. Supply chain and price lag have dominated the headlines in Performance Brands over the past year, but our team has also been formulated and marketing new products. Our BioMax brand in particular is showing real promise. BioMax is a high-performance environmentally friendly lubricant that was designed for the shipping industry. However, as its performance gains a reputation, we're seeing demand spread rapidly across other industries. Most bio-based lubricant solutions underperformed traditional products, but our customers and our team have been favorably surprised by no loss of performance from this unique and sustainable offering. It's an early-stage brand that grew over 100% in 2021, and then in the first quarter, more BioMax was sold than all of last year. Also in the first quarter, we became ISO14001 certified. This was no easy task, and receiving this designation is a recognition of a changing world and the commitment we have to both progressing our high-performance brands and enhancing their environmental performance. Moving to Montana/Renewables, we turn to Slide 8, which shows a picture of a canola field. Canola is a crop that grows in abundance on both sides of the border around our Great Falls facility. We expect canola oil to be part of our renewable feedstock slate. Recently, the EPA announced a proposal for canola's pathway into renewable diesel production. On Slide 9, our Montana/Renewables business generated $9 million of adjusted EBITDA, which is roughly in line with the fourth quarter of 2021. Both of these quarters represent a good mark for the winter season. Fuel margins were good during the quarter, but here again, we see the impact of rapidly rising oil prices on our asphalt business, which is a significant portion of our total production. We also saw the normal slowdown and winter demand that is expected in Montana during the quarter, which typically reverses as we get into the spring and summer. Meaningful asphalt price increases are in and so far so good on crude price stabilizing. In fact, we are extremely excited for this upcoming asphalt season in Montana, as we just completed the Polymer Modified Asphalt project, which will upgrade our asphalt which is already extremely high quality into one of the premier paving materials on the market. We're also looking forward to the spring and summer margins awaiting us in Great Falls, and even more excited about the Montana/Renewables project that continues to progress well. With that, I'll turn the call back over to Todd.
Todd Borgmann: Thanks, Vince. Let's move to Slide 10, and continue with MRL. We've made substantial progress since we spoke two and a half months ago. Let's talk the project first and then we'll do a commercial. First, our procurement team has been working miracles, and we're roughly 80% done with engineering and procurement. We actually started the procurement process about this time last year, as global supply chain challenges were starting and we felt the need to get ahead. It hasn't been easy, but our team has been able to deliver with essentially all purchases of long-lead items complete. This leads the efficient construction in the field as a remaining variable ahead of us to manage. On the timeline, we remain on track to commission the plant in September. Commercially, our geographic advantage is becoming more evident by the day as our feedstock efforts are moving ahead of plan. We've agreed to terms on approximately 5,000 barrels a day of renewable supply, which you'll remember is the volume that we'll use during the commissioning period starting in September. We'll start receiving loads late next month to start to fill the plant. Through the feedstock procurement process, we focused on geographic advantage. We're not looking for specific magical feedstocks like used cooking oil as we expect all feeds who are over time to what we call CI parity. So let's talk about how we've gone about this. We started by identifying all potential feed sources, where we have a geographic advantage compared to other RD hubs. It's through this process that we verified there is roughly 10 times more available feedstock than we ultimately require in our advantaged area. We then went out and hired people who have the relationships and experience to de-risk execution. And as I mentioned earlier, we've been pleased to see how attractive MRL is to phenomenal talent. Last, we reached out to the suppliers. Even though we had conviction in our analysis of regional supply-demand balances, the headlines of feed scarcity honestly had us a bit nervous in the beginning. While we experienced has been the opposite. It's evident that farmers and meat vendors are economically rational, and they're very happy to sell to local purchasers with short supply chains. We're able to secure the first tranche of supply quickly and we have a clear line of sight to the rest that we'll officially execute as we get closer to full run rates at the end of the year. We do believe that we're unique as not many other locations could identify as much oilseed and animal fat supply within 500 miles as Great Falls can. I'd also note, the recent proposed rulemaking from the EPA that's clearing the way for a canola pathway to renewable diesel production in the United States. Even though we've expected to sell canola-based RD in the Canada for some time given our proximity, it's nice to know that 60,000 barrels a day of Canadian exported canola oil will be suitable for US markets too, as most of that production is close to the Great Falls than any other facility. On offtake, we feel that we're in the bottom of the eighth inning as commercial agreements have been reached with three major offtakers that account for all of our renewable diesel volume. We've also committed to the sale of roughly 2,000 barrels a day of SAF, or sustainable aviation fuel, which makes us one of the first movers in this early-stage high-growth business. These are first-class customers, and while we can't share their names publicly yet, you'll recognize the group immediately as large highly credit-worthy companies. Back with feedstocks, the demand for renewable diesel has been better than we expected. In fact, the intense demand from those who are most in the know leaves us thinking that renewable diesel market might just be even shorter than we even expected for the foreseeable future. Last, on MRL. Our capitalization plan has also advanced meaningfully. The third-party transaction was done in the quarter that confirmed our valuation expectation and market lead in the field of independent renewable diesel producers. And we since engaged Lazard to formally optimize our equity options. We also expect to raise debt capital which is strategically tied to the equity. Securing a $500 million term loan would replace our current Oaktree bridge loan with permanent capital, thus removing the convert and mandatory prepay, and that would provide the funds necessary to complete the project. This creates a clean and simple backdrop to execute equity upon, whether that equity is a cash sale, a public market transaction, or ultimately both. In summary, as we sit here today, Calumet is more than optimistic about 2022 and all of our business lines. We know we live in a very volatile world right now, but the margin environment looks to have some staying power, and while our core deleveraging plan sits with MRL, we expect our specialties business can potentially generate excess cash flow this year to further deleverage the Company. And at MRL, we'll continue to execute the plan to stand out this truly unique and transformational business. With that, I'd like to turn the call over to the operator to open the line for Q&A. Operator?
Operator:  And the first question will come from Amit Dayal with H.C. Wainwright. Please go ahead.
Amit Dayal: Thank you. Good morning, everyone. Good to see all this progress, and congratulations on executing against that. With respect to sort of any additional color on spreads and margins, guys. Can you talk a little bit about how you are situated for the next few quarters from that perspective? Is there may be some risk where you're capped at the top line in terms of prices, et cetera, but feedstocks remain elevated?
Todd Borgmann: Amit, it's Todd. Let's start with specialties - kind of on that and then we can go to kind of renewable diesel outlook if that's where you're going. But on specialties pricing, I think we feel pretty confident and very comfortable with where we're at right now. Obviously, we had quite a run in feedstock prices in Q1. I think we made the commercial excellence progress we have because we were able to keep up with those increases pretty ratably. As we sit at the end of the quarter here, those increases are in and we feel pretty confident about the next quarter and path forward. So like we said on the call, we're in max crude mode. Honestly, this is kind of funny to say, given where specialty focus, but the specialties are a little bit along for the ride here. We're really pleased with how margins have held up in Q1. We're pleased with where we sit for Q2. But we're going to process as much crude as we can in the same crack spread kind of environment that we're seeing in the front. So we think specialty will keep up. We're confident in the demand. So far we've been able to push it all out and don't see a whole lot changing there in the foreseeable future. I don't know, Scott, if you have anything to add, or Bruce, you want to jump over to Montana?
Bruce Fleming: Amit, it's Bruce Fleming. So on the spreads and margins question around renewables, I would just point you to the investor deck - the Montana/Renewables investor deck. We've got charts of how that has played out over the last five or six years. And we think vegetable oil is the incremental feed for the industry. It has more than tripled in price, and that has done nothing at all to the margin. It's just like crude refining. We're going to float on the feedstock price and get a fixed margin above that.
Amit Dayal: Okay, understood. And with respect to sort of the deleveraging efforts, guys, I know you highlighted, you have certain things in clear now. With the visibility you have, can you give us a sense of where you might end up by the end of the year with respect to quarterly interest rate levels, et cetera?
Todd Borgmann: Yes. I think we're in a pretty positive position, like you said, ended the quarter super strong on liquidity, so the days of kind of worrying about that seem to be behind us. So $412 million I think we ended the quarter with. Going forward, we do expect to generate excess cash this year, obviously, given some assumptions on current crack and margin environment holding up. But as it sits right now, where we end the year is simply an outlook on what the remaining year holds as far as crack spread environment, which will translate to EBITDA. But I would say it's improved pretty dramatically throughout the first quarter, and as we say are looking forward, we are pretty comfortable with our ability to improve liquidity and generate excess cash.
Amit Dayal: Okay. And then CapEx is still at the $115 million to $135 million range for this year, CapEx spend?
Todd Borgmann: You got it. Nothing has changed there. That got done with the turnaround in  in April like we mentioned that went really, really well, on budget, on plan. So that was a reasonable chunk and we'll continue to move forward, but no change to the forecast.
Amit Dayal: Okay. And you said you've engaged Lazard for MRL. So should we assume that your prior comments about potentially spinning off MRL as own public entity, is that still in place?
Bruce Fleming: Amit, this is Bruce again. So since we last spoke, there has been a number of developments. Todd mentioned one that was REG's being bought by Chevron, and that transaction pretty well confirmed our thinking on enterprise value. So we have accelerated our Montana/Renewables recapitalization. The highest shareholder value for the Calumet shareholders is probably to get Montana/Renewables public, but that's not necessarily a current objective. We think the capital markets are open - very open to the kind of value proposition we've got here in Montana/Renewables. So Lazard is going to be a strategic advisor as we test a couple of different suggestions that have been made to us by third parties.
Operator: And the next question is from Roger Read with Wells Fargo. Please go ahead.
Roger Read: Let me take a slightly different track here. I mean I think we all can look at the crack spreads as we look at the outlook for renewable diesel being pretty positive. But I was just curious with some of the price moves and everything you've seen. Is anything weakening on the demand front across any of the three segments?
Todd Borgmann: Yes. I'll start off and see everybody jumps in response. So far so good, Roger. There's always the risk, and I think a lot of that's driven by just pure flat price and type any recession risk or any of that that you hear floating around. But as we sit here today, we are able to process crude at current price, move all of our products, including some of the higher price Specialty Products without much impact on demand. In fact, obviously, the highest margin areas Performance Brands, and we see demand in that segment is strong as ever so. So as we sit here today, we're pretty comfortable with where demand is. If we see another CR rocket and flat price crude is doubles from here, I think we may have to revisit that. But right now, all signs point to a pretty favorable rest of the year.
Roger Read: Okay. Well, I was going to wait and see if anybody jumps in for - into the next question. But on the MRL project, you obviously said you're very much more comfortable on both the supply and the off-take side. I was just curious. When you talked before, it's been a lot of this product might ultimately go to Canada, not giving away the companies that you might have agreements with. Is that still the way we should think about it? Or is there a much larger demand coming from the Continental U.S. as well?
Bruce Fleming: Hey, Roger, it's Bruce. I'll take that. So there is a tapestry of demand. You've got a bunch of jurisdictions in low carbon fuel space state and provincial, you've got the rest of federal Canada coming online there next year, and of course, you've got the IRFS umbrella overall of that. So it's actually interesting that it's an optimization chance. And what our off-takers who when we eventually reveal them, you're going to see are very recognizable blue-chip names and very sophisticated operators. They've elected to lift FOB. They're going to get to participate in the optimization that I just signaled, and we're going to be fully compensated for that. So we think that we are forming some pretty good partnerships with these offtakers. I have been on record before and I'll say it again. I'd be surprised if our physical barrels fall further than 100 miles from Puget Sound.
Roger Read: Okay. So it sounds reasonably consistent with prior expectations. Okay. Well, I'll -
Bruce Fleming: Yes. Just to be clear, there is no change in our thinking and outlook there. What has changed is we've bolted on the sustainable aviation fuel offering. We always had the hardware capability for that and we were looking for the renewable jet offtake partner and we found one. So we're pretty pleased with that initiative. This is something a lot of people talk about, but frankly, very few are actually doing much. And we're a quasi-first mover. We are a first mover in the Pacific Northwest, so we think that's going to be an important growth vector down the road.
Roger Read: Yes. Like I said, I was going to leave it to two questions, but if no one else asks, I'll come back around on the SAF. Thanks, guys.
Todd Borgmann: Thanks, Roger.
Operator: The next question is from Carly Davenport from Goldman Sachs. Please go ahead.
Carly Davenport: Good morning. Thanks for taking the questions. Wanted to just start on the MRL side, particularly on the pre-treatment unit. Could you just give an update there on progress in terms of construction timing, and how costs are tracking?
Bruce Fleming: Yes. So timing and cost are tracking. Progress is beginning in the field. It's at the site prep level. This is not like building a conventional refinery process unit. It's some pretty simple vessels. The critical path - key was purchasing the oil-water separator which had been fabricated overseas and never installed for another client. So we got a procurement success in that regard which has allowed us to hold timeline.
Carly Davenport: Got it. Great. Thanks for that. And then the follow-up was just kind of around the SAF comments. I think some of the other players in the space that we've heard from, the view has been that the economics have been a bit more challenged for that product relative to some of the other renewable fuels out there. So can you talk about kind of from your perspective, what's differentiated the offering that you can provide there? And how we should think about the economics of the AFP versus the renewable diesel piece?
Bruce Fleming: Sure. The first key is that those molecules were always in the production, and so the base value is always going to be leaving them in the renewable diesel. The second disposition would be Canadian arctic spec winter diesel, which is an uplift, and the third is sustainable oilfield, which is a higher uplift. So that's the seriatim, but we've got three places to go with the physical molecule. The question about the jet fuel sustainable pricing is an interesting one. That industry is still forming. I think this is bespoke and we've got an offtake partner for the jet that definitely knows their way around the emerging segment. So we're planning to exceed renewable diesel revenues. And look, if we don't, it stays in the renewable diesel. The fact that we've got the physical optionality is one of the keys to our competitive advantage in Great Falls.
Operator: Thank you. The next question is from Gregg Brody from Bank of America. Please go ahead.
Gregg Brody: Good morning, guys, and nice to hear the new team or the revised team I should say.
Todd Borgmann: Hi, Gregg.
Gregg Brody: Steve, I know you're probably sitting somewhere in the room and there being silent. It's good to hear all of you.
Stephen Mawer: I'm working, Gregg. I'm working.
Gregg Brody: On the fuel product side, it's been a while since you've been able to think about this, but you used to hedge there. I'm curious what your philosophy is going forward, and if you're thinking about locking in some of the fuel products rates.
Todd Borgmann: Yes. No, it's a good question. We're certainly happy to be back in an environment where we can have those conversations. So it's actually something we talk about every day and a lot more recently. So we did start layering on some cracks actually when they started spiking early in the Ukraine. At that time, it's a little bit uncertain as to how long that would go and level of uncertainty, et cetera, saw an opportunity to ensure some pretty strong margins for the year. So we went ahead and bid off about 9,000 barrels a day of 211 which put it in perspective is about 20% of our fuels make. So it's something that we might add some length throughout the curve. It's really hard to get too excited honestly given the extreme backwardation in the front-month. So that's why it's been a little bit harder than normal. So we look at it. We're watching it closely. It's important to us to add some stability under given our leverage position to kind of increase the likelihood that we're going to have that free cash flow to kind of ramp up the delivering. So, yes, we're watching it close and have started.
Gregg Brody: Are there any - you mentioned you put in some hedges at beginning of the Ukraine crisis. I guess you'll disclose in your Q what those are. I don't know if you could take there might be a little pull on market where the market is today.
Todd Borgmann: Yes.
Gregg Brody: Are there - do you foresee any collateral postings with that, that are meaningful?
Todd Borgmann: We don't. Obviously, our hedge positions are secured by very assets in the CPA. So just to give a little more color, 9,000 barrels a day of crude, 211 around $27 a barrel, so yes, clearly under market at the current extreme prices. Hope they go a little bit further under market, to be honest, but you will see how that plays out.
Gregg Brody: And is that - that's for all of 2022?
Todd Borgmann: Yes. $27 flat across the year. Correct.
Gregg Brody: Got you. May be shifting gears, just to the asphalt market. It's been a while since I've stated that this being a credit guy. How is that market acting relative to what's happening with put the fuels products market and the rise in crude? I know you said again a lag on a monthly basis. I'm just curious, are margins consistent, or are they going up as well?
Todd Borgmann: Yes. Like you said, in the first quarter, it was all about the lag, so they looked worse than they really are. We had a record asphalt price increase at the end of March. We expect quite a bit of stability under those margins as we look at kind of alternative value for those molecules. Going into the coker feed, obviously, there is not some of the heavier Russian oil coming over that was feeding cokers in the Gulf Coast. We're seeing those heavy molecules extremely short. So our expectation is that we will continue to be able to push up asphalt prices in the event that crude was to run. We'll see a little bit of lag because that's just the way that industry price is, we price the month prior. But as a whole, we don't expect much drag on EBITDA from asphalt.
Gregg Brody: Got it. And just remind us, in the SPS business, how much of that is asphalt?
Todd Borgmann: We do about let's say 5,000 barrels a day - 5,000, 6,000 barrels a day of asphalt in SPS.
Gregg Brody: Got it. All right. And I believe it's like 8,000 or 9,000 in Montana?
Todd Borgmann: That's right.
Gregg Brody: When you - just thinking about now within this dynamic refining environment, you're going to have to shut down the Montana refinery. Can you talk about how you shut down the Montana refinery? How long that's going to be? What parts of it'd be working just so we understand how to model that?
Bruce Fleming: Gregg, it's Bruce. The plan is to be down in August. We need to de-energize the site, so we're not going to try to run part of it. We will do dis-splicing or un-splicing, change the catalyst for the renewable feedstock and come back up, so we'll have production in September. The turnaround execution guys are finalizing the details, so I don't have the oil to oil outage. We do have a good amount of tankage relative to our size, so we're going to leverage inventory build and draw plan as part of that. If you had to stick your thumb in the air, figure a month lost production.
Gregg Brody: Got it. Then you get it and you max it out. And maybe just turning to performance. There was - you said you expect normalcy in '22. Do you believe you can pass through higher crude prices into your Performance products and get margin back up to where it's been historically? Or do you think there'll be some challenges there?
Todd Borgmann: No. We think we can pass through, and we've been able to pass through as we've as we followed feeds up. The issue there is every time we think that we're caught up, obviously, feedstocks keep running. So far, we've been able to pass through the increase like such as the 90, 120 day lag in that business, and the feedstock market hasn't given us time to settle out. Now, we've got the supply chain. Obviously, that has settled down as well. So we do think that we can keep up with kind of increasing demand in that space as we move forward which is kind of more of the normalcy in 2022 comment. Maybe I'll stop there. Marc, anything to add on?
Marc Lawn: Yes. Thanks, Todd. Hi, Greg. So, no, I don't think there's anything other than sort of the additional bit of color is that as we seeing normalcy, there isn't a surplus of supply out there. So that's the - we're not going to see a sudden reversal the other way in terms of sort of a large amount of material available. But to reinforce Todd's point is that it was a record set of price increases for the lubricants industry on record last year, and we facilitated three further increase this year already as well. So back to Todd's point is that we can pass them, make the lag that is the piece that we got reaffirmed sort of factor in.
Gregg Brody: So do you think that means we can actually - the 2Q, we are going to see EBITDA come up quite a bit, just to levels where you saw in 2020?
Marc Lawn: We will see it improving - yes, sorry. We'll see an improving environment that definitely great and based on what we see at this point in time. But as sort of Todd alluded to at the start is that Q1 was a record increase of basically an absolute terms in terms of so the WTI move and the like. So there is still an element of uncertainty around what the markets will do and where that volatility will be. We are 100% confident and being able to pass the prices through. So that's sort of our start point. We've got the material. We'll continue to work and move that along.
Todd Borgmann: Yes. And I'll pile on that, Gregg. Obviously, the crude run happened primarily in March, so that was the spike. So feedstock prices are up. They've been passed through. Like Marc said, we'll continue to see margin improvement throughout the quarter, but by the time we get through the whole 90, 120-day lag, you're kind of in the early Q3 by that point. So expect improvement in Q2, full benefit in Q3.
Gregg Brody: Got it. And then just to - I'll turn to sort of two last questions for you. Obviously, higher crude prices, that's been inflationary. Are you seeing inflation any other parts of your business? And sort of how is that impacting the Montana refinery costs - the capital costs relative to original expectations?
Bruce Fleming: If I take the Montana one first and then I'll give the general business going back to Todd. The fact that we've procured most of the construction materials, the major vessels, the long lead items means they can inflate - they cannot inflate. We have a lump sum engineering and procurement contract for the renewable hydrogen plant, so that cannot inflate. Mostly what's in front of us is pain, the craft to complete the field construction activity. So if we do see an issue, it would presumably manifest in wage rates, site productivity, that sort of thing. It's hard to feel that, that's going to be a material step change to our total installed cost outlook.
Todd Borgmann: Yes. I feel the same about the rest of the business. Naturally, you will see a bit of inflation everywhere, but we'll be following the trends of the market. So nothing should really change as far as kind of structural dynamics, anything there. Obviously, the highest inflation is in energy prices. And even though we see costs of natural gas, for example, increasing, it's still a pretty meaningfully advantage relative to the international market. So expect for that to play through the cracks.
Gregg Brody: Got it. Obviously, it sounds like you had your supply chain issues addressed that impacted business last year. So anything that you're concerned about that you see that's worth highlighting?
Bruce Fleming: I think generally, just talking about unknown world environment, all right, I mean there are a lot of things there that we think we're focused on in our business, and the team across the Company is every day focused on managing risk. But the unknown is just - it's a pretty crazy world out there right now, and general inflationary impacts, Ukraine, you name it, something that we're watching closely, and trying to understand how some of those dynamics can impact our business.
Gregg Brody: And then the other still one last one here. So I appreciate you've hired Lazard and you also have this flowing process going on, which I think is near conclusion. And what do you think the timing around monetization is right now? I think before you were talking about an IPO sometime next year. Does this process with Lazard potentially accelerate that? And maybe just sort of framework for us to how to think about it.
Bruce Fleming: This is Bruce again. The sense that you've developed that we're accelerating our engagement with the capital markets is correct. We had a number of positive catalysts that led to that. So basically, if you take the existing Montana/Renewables entity which is fully separated legally from the Company already, we just happen to still own 100% of it. And you look at the way we put the balance sheet together last year, that was for the purpose of completing the business launch for Montana/Renewables. Oaktree was a great partner for that, and we feel good about how that is all moving as you've heard. As you pivot from the business launch to a regular way corporate entity, we're going to the want the permanent capital which Todd mentioned. We have always said that we will take on an equity partner at the right point. We will be looking for fair value, but we'd also be looking at the quality and the particular alignment aspects of that partnering. And anything we entertain, not to be reasonably likely to get done because these things can become big distractions for a small operator like us. So Lazard will be very useful to pick our way through the specific suggestions that have come in from third parties. And yes, we think this year, not next year.
Operator: And the next question is from Jason Gabelman from Cowen. Please go ahead.
Jason Gabelman: Thanks for taking my questions. First on - going back to just the trends in the specialty margins which seem to be improving. I mean can you give us a sense of where that shook out in April versus 1Q? And then just so I understand, I think in the past, you've mentioned that specialty margins to some extent track what diesel prices are doing. Is that fair in this environment, just given what diesel cracks have them?
Scott Obermeier: Jason, Scott here. So as we think about our specialty margins in terms of where we're at today, Todd had mentioned, during the first quarter with the run-up in crude, we did have some compression, but overall, we were pleased with how we executed against the run-up in crude, still delivered over $50 barrel. What we've seen in April here in early Q2 is some of the flow-through of our price increases. So we're feeling pretty good about where we're at today and managing this volatility in the market.
Jason Gabelman: Got it. And just on that part about diesel, was that an accurate statement just that - yes.
Scott Obermeier: Jason, Scott here. So certainly, in some business like our stall and that floats on top of the diesel. Other business, base oils can float on top of VGO. So I think the strength of the fuels in the intermediate market only serves to support our specialty margins and give us the optionality of that Todd alluded to earlier that we have in our business model.
Jason Gabelman: Got it.
Steve Mawer: Yes. And this is, Steve. If I can just build on what Scott said, I mean, I think the reality was at the beginning of the year, base oils market to be honest, was looking a little squishy. And actually, the way we collect that diesel value of the margin is some of the least special of the specialties end up in the diesel pool instead of going specialties, which has knocked up specialties market quite nicely. So we play that optionality and optimize it all the way. And I'd reiterate I think Scott and the team have done a magnificent job of making sure that our specialties businesses by and large stable really well to the diesel crack.
Jason Gabelman: Got it. All right, that's helpful. And then moving to the green financing on an MRL. Can you discuss just are there any kind of make-whole costs or debt extinguishment costs for Oaktree? And then with the $500 million I guess that you're looking to raise, do you have a sense of where that rate could come out? And do you expect that will leave you with any excess cash at MRL once the project is up and running?
Todd Borgmann: Yes. A good question. So I'll try to take it and Bruce feel free to pile on. So debt extinguishment costs on Oaktree have always been 11%. So on a $300 million think kind of $34 million, $35 million there as far as uses for a potential loan. Rate, hard telling at this time. Obviously, the markets not going with us but the cost right now, rate isn't really what this is about. We're pretty comfortable that we have a strong project and we'll get a competitive rate. Have a lot of insurers have a lot of positive feedback in that. But really primary function of a debt raise is to simplify, clear up kind of to convert mandatory prepay, simplify the structure before an equity deal, right. So just highlight that. And then as far as excess cash, we're planning to have a little bit of buffer in this, so if we were to do $500 million, there is plenty of room for a buffer on construction cost, et cetera. So in the base case, we would expect to have some excess cash flow through to the balance sheet, and we're not going to cut it try - not to cut it too close on that give ourselves a little bit of room if needed.
Operator: Ladies and gentlemen, this concludes our question-and-answer session. I would like to turn the conference back over to management for any closing remarks.
Todd Borgmann: Well, thanks to everyone for your time and interest in joining us today, and go ahead, have a great and safe weekend. Thank you.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.